Operator: Good morning and welcome to Entercom's fourth quarter 2017 earnings release conference call. All participants will be in a listen-only mode. This conference is being recorded. I would like to introduce your first speaker for today's call, Mr. Rich Schmaeling, CFO and Executive Vice President. Sir, you may begin.
Rich Schmaeling: Thank you operator. Good morning everyone. I would like to welcome you to our fourth quarter earnings call. A replay will be available on our company website shortly after the conclusion of today's call and available by telephone at the replay number noted in our release. Should the company make any forward-looking statements, such statements are based upon current expectations and involve risks and uncertainties. The company's actual results could differ materially from those projected. Additional information concerning factors that could cause actual results to differ materially are described in the company's SEC filings on Form 10-Q, 10-K and 8-K. We assume no obligation to update any forward-looking statements. During this call, we may refer to certain non-GAAP financial measures. We refer you to our website at entercom.com for a reconciliation of such measures and other pro forma financial information. I will now turn the call over to David Field, our CEO.
David Field: Thanks Rich. Good morning everybody. I am pleased to report that we are making excellent progress towards our goals of capitalizing on our transformational merger and building a truly outstanding media and entertainment company. We are off to a fast start, moving quickly to execute our game plan with important achievements in a number of areas including building a best-in-class leadership team and culture, growing our brands and ratings, executing our synergies, launching new sales tools and advocacy and much more. We are making great strides to elevate the organization and position the company for strong acceleration and I am more excited than ever about the opportunities ahead. Furthermore, there have been a number of positive developments since our last call that have enhanced our prospects and our shareholder value, including the tax bill which will significantly increase our after-tax earnings and cash flow. On today's call, we will take the opportunity to go a bit deeper and give you additional information and color on our progress. We will also cover our fourth quarter results which are a bit complicated due to the timing of the closing and a significant number of divestitures and other acquisitions that occurred during the quarter. First, let's take stock of what we have created as a result of this merger. Entercom is today the country's number one creator of live, original, local audio content. We are one of the country's two largest radio broadcasters with 112 million monthly listeners and a portfolio of 235 local radio stations, including many of the country's most prominent brands and have coverage of nearly 90% of persons 12 and over in the top 50 U.S. markets. We are the unrivaled leader in sports and news radio. We also have a premier set of digital platforms and live events and we are the number two U.S. podcaster behind just NTR. This merger has always been principally about our conviction that the combined entity would have the scale and the capabilities to drive meaningful revenue acceleration and value creation going forward and compete more effectively with other media for a larger share of ad dollars. We are focused on eight primary drivers, each of which is needle moving. These include driving scale enabled national business development, turning around CBS radio, capitalizing on our unrivaled sports platform, developing strong data and analytics capabilities, achieving identified cost synergies, building on our digital events and podcasting businesses, capitalizing on our balance sheet and increasing radio share of total ad spending. Since closing, we have been hard at work implementing our extensive plans to accelerate growth through a series of meaningful action steps each of these areas. I will share a high level update on a number of these developments. First, leadership and culture is everything in this business and we are thrilled with the best-in-class team that we are building. We have upgraded our general managers in 14 yes, 14 of our most important markets, including in New York, Los Angeles and Chicago. These new high-performers are bringing strong dynamic leadership to their markets and will have a large impact of future performance. We have also successfully recruited many highly talented leaders to the corporate team to bolster our effectiveness in critically important areas. Just last week we announced that we have added the head of corporate partnerships at Major League Baseball to join us and head up our new national client development team. He joins a number of other high impact additions that we have made to our team in recent months. Second, we have been hard at work enhancing our brands and products. We moved quickly on day one launching three major new formats in the top five markets. The early ratings results are terrific and well above expectations. In New York, ALT 92.3 is number one among men 18 to 34. And in Dallas, ALT 103.7's ratings have doubled and the station is now in the top five among men 25 to 54. And most impressively in Chicago, 1043 JAMS is now the number one station in virtually every demographic, an extraordinary achievement for a brand-new radio station. More recently, we have lunched new stations in Seattle, Orlando and just this past week in San Diego. It is too early to provide any ratings information on those brands but we are excited about their prospects. Our programming efforts are not confined to just new brands. CBS Radio significantly underinvested in audience research and we had moved to meaningfully increase our commitment to research across the platform in order to enhance the quality of our brands. We are also increasing our investment in audience marketing and strong new local content, where opportunities present themselves. While it is early, I am very pleased to report strong positive ratings results from these efforts. Entercom's key demographic ratings were up 4% in the January Nielsen PPM report, a very significant increase. It is just one month, but it is a very healthy and promising sign of progress in one of the key performance drivers that will impact revenues in the months ahead. These big improvements in local leadership and ratings are an important element in turning around CBS Radio. In making this deal, we fully understood that CBS Radio was performing weakly and that job one was turning that around. We made it very clear throughout our premerger investor roadshow that we believe CBS Radio is very flexible with a powerful lineup of many of the country's most important local stations and personalities and many highly talented people across the organization. I will dwell on the leadership issues at CBS Radio, but suffice it to say that it was under managed by its divisional leadership and lacked strategic focus and energy, playing not to lose, rather than to win. We have made important strides at energizing and reinvigorating the organization, elevating expectations, establishing clear strategic priorities and building a collaborative can-do engaged performance-based organization. We have moved to eliminate silos, enhance systems, streamline process and more. We are not done yet but we are pleased with our progress to-date and we believe we remain on track to deliver accelerating financial results in the second half of 2018 as we articulated during our premerger investor roadshow. We have made significant progress in a number of other areas as well. We have often spoken of radio being the most undervalued medium, punching well beneath its weight class despite the fact that radio has recently emerged as the number one reached medium in the United States with arguably the highest ROI than any medium. Part of the problem has been that radio has done a poor job advocating for itself over the years. With our new found scale, we moved quickly after closing the merger to launch the industry's first major ad marketing campaign with our four-page Marketers' Guide to Radio featured in AdAge, Adweek, Variety and more If you haven't seen it, I would encourage you to get a copy. This advocacy work will be part of a sustained campaign over time but it is nice to know that the campaign has already resulted in some new orders and enhanced perceptions among some key advertisers. And as advertisers become increasingly frustrated with their other media options, which are being highly disrupted, we believe many advertisers will consider shifting more dollars into radio to capitalize on radio's reach, ROI and other compelling characteristics. As I mentioned a moment ago, we just recruited the head of Major League Baseball's client partnerships to lead our new national client development team. With that key hire completed, we will now move quickly to build out this team and to deploy it to drive national business development, which we believe should be a major contributor to future growth. We also just announced our first national marketing partnership as a proof of concept of our unrivaled sports radio platform. 5-hour ENERGY has committed to an Entercom exclusive nationwide campaign built around March Madness. We expect many more of these types of national programs in the future. We have relaunched our Radio.com app and expect it to be an important component of our digital content distribution platform going forward, offering listeners all of Entercom stations plus our podcasts and more. We have noted the data analytics and attribution will be an important part of our future. We took our first big step forward in that area by launching Entercom Analytics, a proprietary product that enables us to demonstrate to advertisers the tangible effectiveness of the radio campaigns. We believe this product can help drive large amounts of business going forward. Rich will touch of synergies. But we are right on schedule on that front. He will also touch on the positive implications of the tax bill. We also continue to grow our unrivaled sports platform, adding the Chicago Bulls and Minnesota Twins to the group of now 45 pro teams that call Entercom home for their play-by-play broadcasts. We signed an agreement to sell a piece of land near O'Hare Airport for $46 million. The land is not strategic and we will be able to relocate the radio station, which currently broadcasts from that location for around $2 million. When we announced our first postmerger acquisitions a few weeks ago, adding two new FM stations in St. Louis from Emmis at a purchase price of $15 million to add to our existing stations in that market. With synergies, we expect the acquisition to be highly accretive coming in under six times EBITDA. We see significant opportunities in the market to drive other highly accretive acquisitions, capitalizing on our strong balance sheet. These are just a few of the meaningful moves we have made to capitalize on our outstanding platforms and position the company for meaningful revenue acceleration and value creation and compete more effectively with other media for a larger share of ad dollars. Turning to fourth quarter results. As I noted earlier, the results are a bit complicated due to all the moving pieces. Rich will dive in more deeply, but I will share some of the headlines. Fourth quarter revenues for the pro forma company were down 6% or 3% ex-political. These results were adversely affected by a $4 million write-down of revenues related to our contract with U.S. Traffic Network. USTN is a firm which contracts with us to acquire a significant amount of our traffic report inventory across many of our stations and they then resell these commercials to advertisers. USTN is having some significant financial issues and we are currently in negotiations with them on a new mutually beneficial arrangement and are hopeful that it will be worked out over the next couple weeks. We are pursuing several alternative paths to mitigate the impact if USTN fails. It is important to note that this is a short-term issue, as even if USTN were to go away, we believe there would be no long-term adverse impact to our performance as USTN is merely a conduit to monetize a portion of our most valuable inventory and there are good alternative distribution strategies. Rich will provide you with some additional color during his remarks. Absent the USTN write-down, same station pro forma revenues for the fourth quarter were down 5% or down 2% ex-political. Diving a bit deeper into our Q4 performance. On a same station pro forma basis, excluding the USTN write-down, revenues for the legacy Entercom stations were down 1% for the fourth quarter, were up 2% ex-political. On the same basis, the legacy CBS stations were down 6% for the quarter, were down 3% ex-political. It is worth noting how our legacy Entercom ex political revenue growth as described above of plus 2% contrasts with the legacy CBS Radio number of minus 3%. CBS Radio's operational issues were exacerbated by the disruption caused by the extended closing process and lackluster divisional leadership during that period. A few other notes on fourth quarter. Local and national were both down with national a little bit stronger. Our best performing categories were health and medical, TV/cable and travel. Our best performing markets were Austin, Detroit, Houston, Indianapolis and Las Vegas. Rich will speak to the cost side of the business, but I would note that we do expect significant margin expansion going forwards as our cost synergies kick in. Looking ahead to first quarter. We are currently pacing down 3%. Q1 is being impacted by a hew factors. We are moving quickly to take bold tangible steps to significantly improve the company and our future. But it takes some time for these enhancements to impact revenues and in fact, some of the changes actually dampen performance a bit in the short run. For example we made six format changes, three in the top five markets, which represent a significant amount of revenue that largely goes away until the new brand establishes itself and begins to build its advertiser base. And as noted above, the merger-related disruption and leadership issues at CBS Radio diminish selling activity through closing, which also has had a negative impact on first half 2018 sales. All of this said, we are seeing lots of positive signs of increased sales activity and progress across the organization, which bodes well for acceleration as we go through the year. And second quarter is a bit better albeit still down at this early time. We are of course determined to improve this number as the quarter progresses. In summary, as we take stock of where we are at this stage of the merger, we are very pleased with the great strides we are making to improve the business. We have been moving aggressively and with urgency to drive change and position the company for strong acceleration and are right on track or perhaps ahead of schedule with our robust action plan. But it is important to remember that we are only just 100 days into the transformation and these things take some time. As these improvements begin to impact revenues, we should drive improving performance in the quarters ahead. Meanwhile, we believe our stock remains highly undervalued providing a free cash flow yield in the upper teens, inclusive of the announced synergies and paying a dividend yield of about 3.5%. We have taken advantage of this by buying back $30 million of our stock since the merger closed reducing our share count by approximately 2.8 million shares or 2% of all outstanding shares. With that, I will turn it over to Rich before we answer your questions.
Rich Schmaeling: Thanks David and good morning everyone. For the fourth quarter, our reported net revenues came in at $246.6 million, up 98% versus $124.6 million in the prior year. On a pro forma same station basis, our fourth quarter net revenues were down 6% and were down 3% ex-political. Looking at the full year, on a pro forma same station basis, total net revenues came in at $1.521 billion, down 3% versus $1.574 billion in 2016 and were about equal to the $1.522 billion we projected back in November during the exchange offer roadshow before the assumed benefit we added in from anticipated 1031 exchanges. More on that in a moment. This result is despite the fact that we did not recognize approximately $4 million of fourth quarter guaranteed revenues due to Entercom from United States Traffic Network or USTN. USTN provides Entercom short duration advertising network sales services and they have a commitment to pay Entercom specified guaranteed payments in exchange for certain of our valuable short duration advertising inventory. Unfortunately, USTN has represented to us that they are having significant financial issues and that they have been unable to pay us on a timely basis. We are presently evaluating our options with respect to our relationship with USTN and we expect to have a resolution of this matter before the end of this month. For 2017, on a pro forma same station basis, USTN provided approximately 2% of the company's revenues. Looking at full year pro forma same station revenues of $1.521 billion broken down between legacy Entercom and CBS Radio. Entercom's same station revenues were flat for the full year and were up 1% ex political. CBS Radio's same station revenues were down about 4% and were down 3% ex-political. Our total operating expenses for the quarter came in at $248.9 million and include a number of nonrecurring items. We reported $16.4 million of M&A costs, $16.9 million of restructuring and transitional services costs and $2.2 million of expenses related to refinancing our credit facility. You will see that our results for the quarter include a significant incomes tax benefit of $252.2 million. Included within this total is a non-cash benefit of about $292 million which is as a result of tax reform and is primarily from the measuring our deferred income tax balances at the reduced federal corporate tax rate of 21%. In addition, as a result of tax reform, we now expect that our effective cash tax rate over the next several years will be in the low-20s versus our prior guidance of low-30s. This revised includes the benefit of our NOLs and will of course translate into a nice boost to our ongoing free cash flow. The one negative coming out of corporate tax reform is the elimination of 1031 like-kind exchanges for stations. Although tax reform creates a number of new opportunities to tax enhance M&A transactions, we now expect to incur additional income taxes associated with our remaining divestitures of eight stations in San Francisco and Sacramento that have been held separately in a divestiture trust and are currently being operated by Bonneville under a time brokerage agreement. We still expect to consummate these divestitures by around mid-year and now expect to generate after-tax proceeds of about $160 million versus about $175 million previously. Turning to our integration program. We are running slightly head of our plan. Of our gross cost synergy target of greater than $130 million, we have already realized cost reductions that will deliver about $48 million of savings on a run rate basis or over 30% of our target. There savings our prior to investments and come primarily from eliminating redundant corporate resources, eliminating allocations from CBS Corporation, rationalizing resources in our eight overlap markets and procurement savings across a number of spending categories. Unfortunately, CBS Radio did not realize during the fourth quarter about $6 million of savings from expected cost reduction actions that they had projected and that were included in our guidance for projected 2017 pro forma adjusted EBITDA. We have added this $6 million into our integration program and we now are planning to realize about $45 million of net cost synergies in 2018 and $110 million of net cost synergies within 18 months of closing. Looking t full year pro forma adjusted EBITDA, including our revised net cost synergy guidance of $110 million, we came in at $450 million which is about equal to our prior projection before once again the assumed benefit of 1031 exchanges detailed in our roadshow deck. We do of course expect about $160 million of after-tax proceeds from our divestitures in San Francisco and Sacramento, which we are looking to selectively put back to work via M&A like our recently announced acquisition of two stations in St. Louis from Emmis to add to our existing cluster in that market and at a buyer multiple of inside six times. Looking at our balance sheet. We ended the quarter with approximately $1.87 billion of outstanding debt under our credit facility and senior notes and our total net leverage on a compliance basis was 4.1 times. Our senior secured leverage was 3.2 times as compared to our covenant of four times. Since closing the merger on November 17, we have repurchase close to 2.8 million shares of our Class A common stock for $30 million and an average price per share of $10.85. We had previously guided that we would repurchase $30 million of our stock, conditions permitting, by the end of 2018. As of today, we have $70 million remaining on our 2017 stock repurchase program authorization and we plan to continue to repurchase our stock this year. Our 4Q capital expenditures were $8.5 million and were about consistent with our expected quarterly run rate maintenance expenditures. In addition, over the next two years, we expect to spend another $35 million in capital expenditures on our integration program which we expect to fully fund with after-tax proceeds from redundant asset sales like the $46 million sale in Chicago mentioned by David. With that, we will now go to your questions. Operator?
Operator: [Operator Instructions]. First question is from Marci Ryvicker of Wells Fargo. Please go ahead.
Marci Ryvicker: Thank you. I want to just start on the fourth quarter. I know it's messy and we have been waiting for numbers. Can you just first tell us if there was an impact from the station divestitures in the fourth quarter and maybe what the revenue and expense related to those stations were?
Rich Schmaeling: No doubt, Marci, there was an impact in the fourth quarter. I don't have the breakdown of the impact from the divestitures. But we gave on a pro forma combined same station basis $88 million of EBITDA for the quarter.
Marci Ryvicker: Okay. I should back into that. Great. And then can you talk about the first quarter a little bit in terms of the pace? Maybe how Entercom legacy stations are doing versus CBS stations? And then does CBS also have the USTN issue? Or is that an Entercom only? So when you talk about 2% of company revenue, is that 2% of legacy Entercom?
Rich Schmaeling: So let me answer the 2% first. That is the 2% of pro forma combined 2017 revenues.
Marci Ryvicker: Okay.
Rich Schmaeling: The $1.521 billion that we mentioned in my remarks. And that contract primarily was a CBS Radio contract, although Entercom historically have also done business with USTN.
Marci Ryvicker: Okay.
David Field: Yes. The other part of your question, Marci, in the first quarter, we are narrowing the gap and we are seeing accelerated activity and ramping. But again, given the time cycles in the business, as I mentioned in my remarks before, we are seeing progress sequentially and remain optimistic about where we are headed in terms of acceleration as we go through the year.
Marci Ryvicker: Okay. And then we have seen firsthand that you have made a lot of changes in market, especially the New York market. And I know the ratings have really done well. When do expect to monetize the changes that you are making? And I understand you are going to continue to make changes. So we are going to have continuous bumps in the road. But when do we really start to see maybe in the markets you have already started to change when that impacts the topline?
David Field: If you look at in aggregate, as we stated on the exchange offer road show, we point towards the second half of the year when you will start seeing real acceleration on the topline. And of course, there is a plethora of things we are doing, some of which are paying off immediately and some of which won't pay off until much later. So for instance, on the format changes you mentioned, advertisers now look at these ratings, we start building our book of business and we start seeing those moving in the second quarter and then of course growing significantly from there. If you look at our national client development effort, as I mentioned, we just recruited the head of that group and we are super excited about bringing Jim McCloud onboard to lead that effort. He will build out his team. That will have some impact in the second half of the year but it will be a big driver in 2018. So it's a whole portfolio of changes and moves that we are very excited about across the eight drivers that we have been discussing. And as I said, it nets down into second half acceleration.
Marci Ryvicker: Got it. And then one last one for Rich. You gave us a lot of numbers. I just want to clarify, is the net synergy guide now $110 million versus $100 million?
Rich Schmaeling: Yes.
Marci Ryvicker: Thank you very much.
Rich Schmaeling: Thank you.
Operator: Your next question is from Kyle Evans of Stephens. Please go ahead.
Kyle Evans: Hi. Thanks. I hate to be dense. I am not sure I picked up on Rich's guide on divestiture impact in the period. I am looking at the slide 39 from your November deck where you have an Entercom $471 million and CBS $1.166 billion. And I am trying to reconcile the combined total of that, which is $1.637 million. So the $1.521 million you gave, I am just trouble backing into that.
Rich Schmaeling: Yes. Thank you, Kyle, for that question. I am sure others are struggling with that too. So if you take the $471 million and the $1.166 million, that's a total of $1,637 million. As you flip to page 40, you will see that the net divestitures were $115 million. Deduct that, you get to $1.522 billion. That's the basis that we are comparing. The actual results pro forma combined same station basis were $1.521 billion despite not reporting $4 million of guaranteed revenue from USTN. So we feel good about our pro forma combined revenue results for the full year and like I said,, they are about consistent with what we guided here.
Kyle Evans: That's helpful. Thank you. You originally forecast using $30 million to buyback stock. You blew through that pretty quickly and aggressively. You said you are going to continue. Do you care to give future guidance on how much more you think you will deploy in 2018?
Rich Schmaeling: Yes. Absolutely. We will buy more.
Kyle Evans: Okay. All right. I guess, that's helpful. And then you said you are looking for ways around the USTN impact. I am not sure I understand the tactical approach there. I don't know, to be quite frank with you, I didn't know what USTN was until you just talked about it today. So maybe a little more detail there?
David Field: Sure. So again, they are a conduit. They have a contract with us to be able to essentially resell our traffic report advertising and we have multiple other competitors in that space and in addition, there are other self-help opportunities and one of the things that is inherently obvious is that we could take that business in-house. We obviously are well equipped to do that and we would eliminate a middleman. And that would, I think yield an outcome which might be better than the status quo. So you really need to think about this as short-term, long-term. In the short-term, it's a hiccup and it will have some impact on our 2018 depending on where it all lands and we will of course transparent about that so folks can see it. As we look beyond and down the road, we see it having no impact on our business. It might be a small net positive. It might be roughly neutral. But that's how you should think about it.
Kyle Evans: Okay. And as we look forward at the future revenue growth that's built into your free cash flow per share bridge, how much of that do you think comes at the expense of other national radio competitors and how much of that comes from new dollars that you are able to pour into radio as a medium?
David Field: Well, we have been very clear over the years in stating that we think radio is the most undervalued medium and the trend lines in terms of radio's attributes and its reach and its ROI and a lot of the other things that are happening compared to what's going on in other media which are being much more disrupted, we think radio is in a position to really pick up a larger share of total ad spending. And with the change in industry structure, with the CBS Radio and Entercom stations coming together, you now have another fully scaled competitor that is focused on driving that. I believe that iHeart, Cumulus and others also believe that and I think that there is a real opportunity for radio dollars to increase as advertisers look at the relative value proposition and shift dollars into radio. We have talked about that on this call. I have mentioned some of the tangible things we are doing to drive that. Our national client development team, our advocacy campaign and so forth. And based on conversations we are having with advertisers, I feel really good about where that's headed. So yes, there will be battle for share within the industry. Yes, we think CBS Radio, the legacy CBS Radio stations have some upside here, of course, in terms of regaining share they might lost in the past few years, but this should not be thought of as a zero-sum game. We are bullish on the medium and where we are headed.
Kyle Evans: Thank you so much.
Operator: Your next question is from Aaron Watts of Deutsche Bank. Please go ahead.
Aaron Watts: Hi guys. Thanks. Two questions for me. As we think about the EBITDA margins for the combined company, where do you see that trending over time relative to legacy Entercom, legacy CBS and perhaps some of your large market peers?
David Field: Yes. So we expect to get over 30% over the next horizon. If you look at, Aaron, just kind of the pro forma combined impact of our synergy guidance, we are about 30% if we had realized all of our synergies today. That's going to take some time. As you know, we have guided that we will be there on a run rate basis, the middle of 2018. We have taken up that guidance slightly today to $110 million. So we are pretty comfortable over time we are going to be 30% or more, but clearly by 2020.
Aaron Watts: Okay. Got it. That's helpful context. And then, David, somewhat related of the last answer I think you just gave, but now that we have your 4Q numbers, 1Q outlook and as you look ahead in 2018, it will be helpful to hear your latest thoughts on the rationalization of the marketplace, both from a volume and pricing perspective? You have been competing against at least one peer that has been in stressed state financially. And as a couple of those peers restructure their debt and emerge more healthy from a balance sheet perspective, how does that impact the competitive dynamic for Entercom? Thanks.
David Field: Well, I think it's a net positive, right. I mean if you look at what the ramifications should be in terms of having those two competitors in a healthier position, I think that's a good thing. And beyond that, of course, just from an investor standpoint, having those two companies adding more liquidity to the equity markets, I think, is also a real positive. And look, at the end of the day, the industry structure is just much healthier going forward. CBS is an outstanding organization, but CBS Radio was not their strategic focus. And there is a big difference now in terms of how the industry will compete, I think, externally against other media and the larger picture here. And I think that's a very, very healthy thing for the industry going forward on all of those fronts.
Aaron Watts: All right. Thank you for the time.
David Field: Thanks.
Operator: Thank you. Your next question is from Jeff Parks of Venator. Please go ahead.
Brandon Osten: Hi guys: It's Brandon calling. Congratulations on getting your first quarter out. I just wanted to go back to a few things you said. So free cash flow yield, you made a comment at the beginning of the call about how the stock is trading with free cash yield of high teens. So at $10, without giving a specific guide that you guys don't seem to want to give, are you basically implying that you expect your free cash flow to be between, you know whatever, $1.60 and $1.90?
Rich Schmaeling: Yes. We don't tend to give guidance on free cash flow. We were just referring to street estimates to give you that number. But I think it's interesting. As you look at the initial offer by Liberty for a 40% interest in iHeart, it was about 8X. And that puts our math, our stock price should be over $14. So we think our stock is significantly undervalued and we look forward to getting it to where it ought to be.
Brandon Osten: Right. And just I guess that segues to one of my questions. You guys haven't really said a lot and I want you to overstep in terms of that deal is still very much in flux and probably won't be closed till the end of this year, if anything happens at all. But what are your thoughts about a, I realize it's sort of a 20-20-60 type of ownership of equity being proposed. It's not fully integrated. But what's your view of local versus national ad capabilities, talk versus music, iHeart being able to throw some content on Sirius or even Pandora? From a competitive standpoint, I am sure there is a lot running through your head in terms of how that could all fare out. Do you have any sort of broad brush opinions on that?
David Field: Well, look, it's early. And we are going to watch and see what happens as far as how it plays out. But I would point out that, I think it does underline the importance of having good premium content on radio stations. And the there is no company, as we like to talk about, that does a better job at that than Entercom. We are the number one creator of live, original, local audio content in the United States. And so as we think about the competitive landscape going forward, we think that positions us just really, really well and we like the reaffirmation of the category. Here is a company that obviously has this big stake in satellite radio, in pure play Internet radio and so forth and they are still making a bold bid because they see great value in what companies like iHeart and Entercom do.
Brandon Osten: Yes. I think just, to your point, I think it was Sirius or someone came out recently when talking about that deal, just saying, you can't anything. 70% of people just don't want to pay for music on a subscription basis. So that's why they were like, we need to revisit radio. Can you guys give us a sense, a couple of your competitors have talked a bit about monthly pacing, not specific numbers, but it sounds like generally speaking, January was not good across the industry, February was a little less than last year and then in March things are starting to really move up. Can you give us some monthly color without any specific numbers?
David Field: We have not done that but I would say that's essentially correct. You have seen those numbers for January and yes, we see some improvement month by month as we go forward.
Brandon Osten: Okay. And on the cash infusion deals you guys have talked about in the past that were sort of hurting the industry and hurting CBS, specifically, how long until those deals actually roll off? Like, do those roll off as of May or June? Are they rolling off now?
David Field: Yes. We are trying to work them off as rapidly as possible. And we will just stop. We will not give further specificity about that.
Brandon Osten: Okay. And two more things here or three more things, sorry. These GMs, you said you have obviously turned over a lot of CBS high-level regional guys. Where are you getting all these new guys from?
David Field: From all over, right. Some of them are internal promotions. Some of them are from some of our competitors within the industry. And I think Entercom has really emerged, I think this has been true for a long time, but more so than ever, Entercom is a great place to work. I think it's a wonderful opportunity for folks to come in and be in a wonderful environment. And that's put us in a really nice position as we look to recruit people from other radio groups, other media industries and not only that but again, this opportunity to promote some of our best and brightest within the organization.
Brandon Osten: Okay. And just two more quickies. Sorry I am taking so much time here. But the assets that held in trust or for sale, are those included in the reported revenues or those excluded?
Rich Schmaeling: So it's a mixed bag and it's really best. We are going to file our 10-K next week and it lays out a lot of detail. I suggest that will really help.
Brandon Osten: And then finally just one last question here because we also own some of the CBS Radio debt, it's fairly high coupon debt. What are your thoughts in terms of getting yourself a better interest rate as time goes on here on some of the debt, the CBS debt that's still outstanding?
David Field: Yes. We have the noncall countdown clock up on our wall and we are waiting for time to lapse.
Brandon Osten: Okay. Cool. All right. Thanks guys.
David Field: Thank you.
Rich Schmaeling: Thanks.
Operator: Thank you. Our last question is from Michael Kupinski of NOBLE Financial. Please go ahead.
Michael Kupinski: Thank you and thanks for taking the question. Some of the TV and radio broadcasters have indicated that they been affected by a shift in advertising by McDonald's, especially in January and February. I was just wondering, have you been affected by McDonald's at all in your guidance?
David Field: Well, we don't tend to talk specifically account by account. You have seen some stories on that and the numbers that we talked about obviously incorporate all of the wins and losses, if you will, across the landscape.
Michael Kupinski: Regarding your data analytics business, has that already been formally launched? And if it has, what is the basis of the data that's compiled? Is it driven by market research or through data gathering like maybe for the NextRadio? How are you getting the data? And if you already launched it, how are advertisers embracing the analytics information at this point?
David Field: Yes. It's a good question. I don't want to go too deep obviously on this call, but the headlines would be that, it's a proprietary product that enables us to be able to determine what digital activity occurs for a brand within a very, very short window after an advertisement airs. And what it shows in campaign after campaign after campaign that when there is a call to action on a radio commercial driving customers or consumers towards a digital site or landing page, what have you, there is a demonstrable increase in activity related to that advertising. And we have been using it now for -- we rolled this product out a couple of months ago. It had been used by CBS Radio in the past. We have amplified it a bit and it is having a nice impact on advertisers who love the idea that they can see, tangibly, how the radio advertising is impacting consumer behavior.
Michael Kupinski: On a broader question, how do you see the radio landscape evolving? I mean, cumulus is obviously going through its restructuring and the prospect there might be that once they do their financial restructuring, there might be assets that come on the market. How do you look at your capital allocation at this point in determining whether or not you would like to add more stations in certain markets or building out the platform versus buying back stock or versus paying down debt at this point?
David Field: Well, it's a great luxury being in the radio industry because we generate massive amounts of free cash flow as you know. And the beauty is that we have the opportunity to do multiple things. So we are doing the buyback, as Rich has discussed. We pay a nice dividend. We are paying down debt. And at the same time, we can cherry pick attractive acquisition opportunities given the fact that given our cost of capital and our currency and so forth, we are very, very well positioned to do so. We mentioned the St. Louis acquisition which will come in at a highly accretive multiple under six as a buyer. And I also alluded the fact that we see a pretty robust pipeline of opportunity out there to cherry pick other situations, which can also drive some highly accretive acquisitions. So the good news also is, we don't have to do anything. This is all opportunistic. But we see a lot of opportunity there and we are continuing to look at them as we go forward.
Michael Kupinski: Great. Thanks for the color. I appreciate it.
David Field: Okay. I think that concludes the questions. And so, thank you all very much for joining us here this morning and we look forward to reporting back to you next quarter.
Rich Schmaeling: Bye, bye.
Operator: And that concludes today's conference. Thank you for your participation. You may now disconnect.